Operator: Good morning. My name is Charlie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Berry Global Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Dustin Stillwell, you may now begin your conference.
Dustin Stilwell - Berry Global Group, Inc.: Thank you and good morning, everyone. Welcome to Berry's second fiscal quarter 2018 earnings call. Throughout this call, we will refer to the second fiscal quarter as the March 2018 quarter. Before we begin our call, I would like to note that on our website, we have provided a slide presentation to help guide our discussion this morning. After today's call, a replay will also be available on our website at berryglobal.com under our Investor Relations section. Joining me from the company, I have Berry's Chief Executive Officer, Tom Salmon; and Chief Financial Officer, Mark Miles. Following Tom and Mark's comments today, we will have a question-and-answer session. In order to allow everyone the opportunity to participate, we do ask that you limit yourself to one question at a time with a related follow-up, and then fall back into the queue for any additional questions. As referenced on slide 2, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, I remind you that certain statements made today may be forward-looking statements. These statements are made based upon management's expectations and beliefs concerning future events impacting the company, and therefore involve a number of uncertainties and risks including but not limited to those described in our earnings release, our Annual Report on Form 10-K and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And now, I'd like to turn the call over to Berry's CEO, Tom Salmon.
Thomas E. Salmon - Berry Global Group, Inc.: Thank you, Dustin, and good morning, everyone. This morning, we'll be discussing several topics including our fiscal second quarter results, highlights from our three operating segments, an update on the Clopay acquisition and our expectations for the remainder of fiscal 2018. Afterwards, we'll be happy to answer any questions you may have. Turning to Berry's overall financial results for the March 2018 quarter on slide 3. I'm proud to report that we had another quarter of solid financial results. Quarterly records were achieved for any March ended quarter for revenue, operating EBITDA and adjusted EPS of $1.967 billion, $350 million and $0.84 respectfully (sic) [respectively] (03:08). Revenue increased 9% over the prior quarter highlighted by strong organic volume growth from our nonwovens, tapes and foodservice products. Consistent with our historical track record, we were able to largely offset cost inflation and delivered solid results in the quarter, recording a 4% improvement in operating EBITDA from fiscal Q2 2017. Our quarterly adjusted earnings per share represents a 12% improvement over last year and an impressive five-year compounded annual growth rate of over 20%. Looking at our highlights specifically by segment, we had another solid quarter of sales and earnings within our Engineered Materials division, as revenue increased 6% and operating EBITDA improved 17% compared to the prior year quarter. The division continues to benefit from the AEP and Adchem acquisitions completed last year, including cost synergies resourcing, manufacturing and SG&A. Our legacy tapes business had another strong quarter with growth in organic volumes and earnings. Similarly, our recently acquired tapes business, Adchem, saw improved results which provided new sales channel and product offerings in the growing specialty tapes market. We're also excited about our recent investments in value-added multi-layer film supporting growth in e-commerce, as our film technology provides an opportunity for our customers to provide a more cost competitive packaging solution. Additionally, we continue to see opportunities with our food and beverage customers to take share from other substrates with improved film performance, eliminating the need for additional packaging. We're also investing in our innovative protection solution product offerings, which provide enhanced load containment, ultimately reducing the breakage, damage and loss incurred in the transportation of goods. The fundamentals of our Engineered Materials segment remain positive as reflected by another solid quarter. Our Health, Hygiene, and Specialties division reported strong revenue growth of 18%, as well as a 3% improvement in operating EBITDA, including the impact of the recently completed acquisition of Clopay. From an organic volume growth perspective, excluding South America, our nonwoven product volumes grew 2%, compared to the prior year quarter with positive organic volume growth in each of our Health, Hygiene, and Specialties nonwoven businesses. Geographically, North America, Europe and Asia all saw positive volume growth. We remain excited about the overall nonwovens market and believe with the ensuing rise of the middle class and higher GDP rate, demand will grow in developing countries in high value-added markets, such as healthcare and hygiene. Specifically, our Asia business, for the first two quarters of fiscal 2018, is up over 14% versus the comparable first six-month period of ownership and continues to experience growing demand and high utilization rate supporting our investment decision in a state-of-the-art nonwoven line in China. Our new $70 million asset will be the first of its kind in the region and will provide significant incremental capacity for Berry serving the Asian market. This investment is targeted to meet forecasted market and customer growth and will be focused on premium applications in the hygiene and healthcare markets. We're pleased to report that the project is progressing as expected and anticipate the new line to be in production by the end of fiscal 2019. Specifically, we've committed over $130 million of capital to support the growth of nonwovens over the last four quarters. We remain focused on high growth markets and applications where we are partnering with our customers in the commercialization of products and feel confident these investments will promote our longer term growth expectations for nonwovens business. We continue to be excited about the acquisition and integration of Clopay that closed February 6, 2018. The joining of Clopay with Berry's Health, Hygiene, and Specialties division strengthened our position within the attractive health and hygiene markets and broadened our presence as a global supplier to many of the leading consumer and industrial product manufacturers. The integration is going better than planned. I want to welcome and thank the Clopay employees who became part of Berry. Proven by the positive volumes and earnings growth achieved during the quarter, the Clopay team has surpassed our initial expectations and has done a tremendous job executing the early stages of integration while providing high quality service to our customers. Additionally, we're working with our global customers to provide an enhanced product offering that reduces cost and provides improved performance in our global hygiene films offerings. On the cost side, we're accomplishing our initial objective of reducing material and SG&A cost and continue to work on further cost reductions and identifying new business opportunities. Due to the complementary nature of the business with our Health, Hygiene and Specialties segment, it has created an opportunity for synergies in both the legacy HHS business as well as Clopay. Based on the progress to-date, we are increasing our annual cost synergy target to $40 million from our original guidance of $20 million, when we announced the transaction. These synergy opportunities are providing cost benefits to both the legacy Clopay business as well as Berry globally. As with past acquisitions, we are identifying the best assets and processes within the combined company. As an example, our teams have identified low cost technology in the Clopay South America site with available capacity and we're working diligently to fill that open capacity with legacy Berry business. To summarize, I'm pleased with the results to-date from Clopay and even more excited about the future opportunities. In our Consumer Packaging division, volumes were relatively flat in the quarter. Our foodservice products reported solid growth in the quarter driven by stronger demand at quick-serve restaurants and convenient stores. We are partnering with large multi-national customers within our core foodservice product portfolio to address unmet needs and have made significant investments introducing new proprietary technology advanced solutions to the market, at a lower cost, with improved functionality and sustainability. These new products will offer a new consumer experience through premium design and sustainability. This project remains on track from a cost and timing perspective. And as we stated in our prior calls, we expect these offerings to benefit the company starting in the back half of fiscal 2018 and into early 2019. And I look forward to providing more details in future calls. In addition, we continue to innovate and provide premier healthcare packaging for a wide range of solutions from blood diagnostic vials to unique senior friendly closures. We continue to look for opportunities where we can provide advantaged products in targeted markets and I'm pleased to report that we are seeing a stronger pipeline and an improved hit rate in our healthcare and specialty rigid plastics projects. Additionally, I think it's prudent to remind our investors of Berry's consistency and dependability as the free cash generator irrespective of resin cost volatility. Consumer demand or macroeconomic conditions, our products were used every day in consumer-centric product category such as diapers, personal care, healthcare, food and beverage. We at Berry remain committed to being a low cost manufacturer in the fastest growing substrate with high quality products and service to our customers and believe that the use of plastic-based products will continue to grow as they have for the past several decades, with its clear cost and performance advantages to support this expected growth. Our suppliers are committing billions of dollars in capacity additions with the benefit of low cost raw material in the United States. Now, I'll turn the call over to Mark, who will review Berry's financial results in more detail. Then, I'll come back and summarize our strategy and open the call for questions. Mark?
Mark W. Miles - Berry Global Group, Inc.: Thank you, Tom, and good morning, everyone. I would like to refer everyone to slide 4 now. As Tom previously mentioned, Berry closed the quarterly record net sales of $1.967 billion, which was up $161 million or 9% over the prior year quarter, primarily attributed to incremental sales from recent acquisitions along with selling price increases to pass through higher raw material and transportation costs. From an earnings perspective, we achieved a March quarterly operating EBITDA record of $350 million, an increase of $14 million over the prior year. The increase was primarily attributed to acquisitions and lower SG&A expenses from synergies and cost reduction. These positive contributions were partially offset by cost inflation including polypropylene resin, impacting our Health, Hygiene and Specialties and Consumer Packaging segments. Each of the three business segments were affected by higher cost for both raw materials as well as transportation. Overall, net inflation was 6% in the quarter, with some categories up as much as 20%. From July of last year through January 2018, market resin prices for polypropylene increased seven consecutive months, up over 30% on a year-over-year basis, primarily impacting our Health, Hygiene and Specialties and Consumer Packaging businesses. These resin price increases result in resin related headwinds for us in both the December 2017 quarter and the March 2018 quarter. However, we expect a modest tailwind in the June 2018 quarter, with recent market price decreases in polypropylene. Looking at the result of each of our operating segments, starting on slide 5. Net sales for our Engineered Materials division for the quarter were $655 million compared to $620 million in the prior year quarter. The increase was primarily attributed to the AEP acquisition, along with an increase in selling prices due to the pass-through of higher raw material and transportation costs, partially offset by softer volumes in the quarter. We continue to take steps to rationalize the business associated with the acquisition of AEP and, as communicated previously, we expect the June quarter to be the last quarter where the year-over-year volume comparison will be impacted by these positions. Operating EBITDA in our Engineered Materials division was $127 million representing an increase of $18 million or 17% over the prior year quarter. The increase was primarily driven by acquisition volume in the quarter and lower SG&A expenses from synergies and cost reductions. Turning to slide 6, our Health, Hygiene, and Specialties division generated net sales of $706 million in the quarter compared to $597 million in the prior year quarter. The increase of $109 million or 18% was attributed to the Clopay acquisition, a favorable currency impact and an increase in selling prices due to the pass-through of higher raw material cost. The division recorded a $110 million of operating EBITDA in the quarter compared to $107 million in the prior year quarter. The increase in operating EBITDA was primarily a result of the Clopay acquisition, lower SG&A expenses and a favorable impact of currency partially offset by cost inflation. The primary raw material of this division is polypropylene. And as we stated on our last conference call, with the cost increase as noted earlier, we experience a timing lag in passing through these raw material costs. We are working with our customers to shorten this timing lag and I'm pleased to report that we made good progress in the quarter. Additionally, as noted earlier, recent decreases in the market prices for polypropylene will provide a modest tailwind in our upcoming June quarter. Additionally, just one of the many actions we are taking as part of our continuous improvement culture to maintain our low cost position and provide future earnings growth was the recent consolidation of one of our facilities in Mexico, which will drive an annual operating EBITDA cost savings of over $4 million. Next, as noted on slide 7, net sales in our Consumer Packaging division was $606 million in the quarter, which was $17 million higher than the March 2017 quarter. The improvement was primarily attributed to an increase in selling prices due to the pass-through of higher costs. Operating EBITDA in the quarter was $113 million compared to $120 million in the prior year quarter. The decrease was primarily driven by higher resin, other raw material, transportation and manufacturing costs in the quarter, partially offset by lower SG&A expenses. A portion of our year-over-year cost increases included expenses incurred in the March quarter, as we made substantial progress on the startup of new business that we have discussed on our prior conference calls. We anticipate these startup costs, as well as the timing light headwind related to the pass-through polypropylene cost increases, to subside in the June 2018 quarter similar to our Health, Hygiene and Specialties business and continue to expect our results in Consumer Packaging will improve in the back half of the year. Slide 8 provides a summary of our income statement for our second fiscal quarter. Overall, operating income increased by $13 million or 7% over the prior year quarter. This increase was due to the items that previously discussed that drove this $14 million operating EBITDA improvement. Interest expense was $66 million compared to the prior year expense of $67 million. This decrease is primarily a result of interest rate reductions we have achieved from proactive actions to lower our interest costs from completed refinancings, partially offset by higher market interest rates and the new debt associated with the Clopay acquisition. We've continued our efforts to refinance our debt to reduce interest expense where opportunities are available to lower our costs and strengthen our balance sheet. We are pleased with our progress and have increased our interest coverage ratio calculated as operating EBITDA divided by annual interest expense to 5.2 times from 2.4 times at IPO. Additionally, we have continued to strengthen our balance sheet over the same time period by reducing our leverage ratio of net debt divided by adjusted EBITDA from 5.2 times to now 3.9 times. We've repaid $117 million of our debt through the first two quarters and made an additional $100 million early term loan principal payment in early April after quarter end and anticipate reducing our debt leverage ratio to 3.5 times by fiscal year end. As we mentioned last quarter, U.S. corporate tax legislation was passed during the December quarter and Berry was a clear beneficiary with approximately 80% of our revenue in the U.S. The new legislation not only will provide additional capital to the company to create incremental shareholder value, but should also generate positive economic stimulus for our customers and consumers alike. We continue to estimate that the new tax legislation will provide a $50 million annual benefit to the company on an adjusted free cash flow basis and accretive to earnings by approximately $0.35 per diluted share. This tax savings is equivalent to the addition of 350 million of annual revenue and our average margin without the need for any additional investments. These tax changes also provide us greater flexibility to utilize global cash to invest in the most optimal locations. From an income statement perspective, we are estimating our effective tax rate to be 25% excluding the one-time tax reform adjustments. In wrapping up the income statement, our net income for the quarter increased 25% to $90 million compared to $72 million in the prior year period. Earnings per diluted share increased by 22% from $0.54 per share to $0.66 per share in the March 2018 quarter. Adjusted earnings per diluted share increased to $0.84 in the current quarter, a 12% improvement from the March 2017 comparable quarter of $0.75. Next, on slide 9, the company generated $132 million of cash flow from operations in the quarter. We have intentionally invested additional capital into building inventories and certain product categories, four new products and customer projects, while also putting ourselves into a better service position for our seasonally stronger June quarter. Net capital expenditures in the quarter were $90 million, as we incurred spending on cost reduction initiatives, as well as the growth projects Tom referenced. In the first half of fiscal 2018, we have invested a record level of organic capital to support the new product launches and growth initiatives that we have discussed in the past few quarters and look forward to the expected sales and earnings growth from these projects in future quarters. Our adjusted free cash flow defined as cash flow from operations, less capital expenditures and payments made under the tax receivable agreement was $526 million for the four quarters ended March 2018. Our financial guidance, including underlying assumptions for fiscal year 2018, is shown on slide 10. We are reaffirming our fiscal 2018 adjusted free cash flow at $630 million, which includes over $1 billion of cash flow from operations, partially offset by net capital expenditures of $340 million and the $37 million tax receivable payment that was made in the first fiscal quarter. Within our guidance for cash flow from operations, we are assuming other cash taxes of $130 million, which includes the TRA payment made in the December quarter. Other cash uses are expected to be $50 million, primarily related to items such as integration expenses and synergy realization costs associated with the Clopay and AEP acquisition. Our $340 million of expected capital expenditures includes $120 million for maintenance and $40 million for product redesign, with the remaining $180 million allocated to product innovation, organic growth and cost reduction projects. Cash interest is still estimated to be $250 million, which assumes debt pay-down throughout the fiscal year and we are also assuming working capital usage of $40 million in fiscal 2018 related to the inflation mentioned earlier. This concludes my financial review. Now, I'll turn it back to Tom.
Thomas E. Salmon - Berry Global Group, Inc.: Thank you, Mark. As I stated earlier, we are very excited with the progress with the Clopay acquisition. The combination of Clopay and our Health, Hygiene, and Specialties division offers the opportunity for meaningful value creation for our shareholders. Our initial expectation was to achieve $20 million in synergies, and through the hard work of our teams we've substantially increased our cost synergies to $40 million. With respect to further acquisition opportunities, our pipeline continues to be very robust with global opportunities in each of our three segments. The overall global packaging space remains fragmented where Berry, at $8 billion in pro forma annual revenue, is one of the largest in the world. With our leading portfolio of products touching consumer and industrial markets, we feel there is and will be ample opportunity to continue to find accretive acquisitions while applying our proven, conservative and disciplined approach. A key component of this strategy is being very diligent and methodical in evaluating opportunity and determining which acquisitions are the best fit for our company. Our successful track record in strategy to uncover and acquire businesses with the like materials, along with our ability to successfully integrate these businesses in a timely manner and efficiently realize maximum synergies is a core competency of Berry. We work to identify the best people and the best practices of each acquired business and apply those resources and practices to the entire enterprise. Accordingly, Berry represents the integrated processes, people and fiscal assets of the 44 acquisitions completed to-date. In terms of valuation, if you look historically at our past 15, including three of our large most recent acquisitions, we've averaged a 5.2 times post-synergy multiple with annual cost synergies averaging 5% of revenue of the acquired business. This historical disciplined track record is a foundation of what has led Berry to where we are today, providing consistent 10-year compound annual growth rates, over 20% on revenue, EBITDA and shareholder return and why we believe we have a very bright future ahead. With respect to guidance, as Mark mentioned, we've reaffirmed our 2018 adjusted free cash flow target of $630 million. We will continue to work diligently to offset with increased selling prices, driving earnings growth through a focus on cost reduction initiatives, as well as grow our business organically and through strategic acquisitions. We're extremely proud of our history and predictability, as we've exceeded our free cash flow targets every single year as a publicly traded company. Before I turn the call over to the operator for questions, I want to take a moment to discuss plastics and the possibilities of plastics. Plastics improves lives every day, period. Recently, I spoke at the World Petrochemical Conference and encouraged our industry to take a more collaborative role in promoting plastics and its possibilities. At Berry, we're doing the same by creating awareness and educating our employees of the benefits plastics provides. We launched an internal program called Plastics Ambassadors to lead education and advocacy among employees and internal stakeholders to drive a unified voice. Plastics Ambassadors is focused on empowering our employees with facts around the possibilities of plastics and the positive impact of our industry. Whether it's used in healthcare, medicine, food storage, and spoiling protection products, cell phones to cars, plastics is one of the most versatile materials on the planet that has a lower carbon footprint, consumes less than half the energy of known alternatives, and is less than a quarter of the weight. The benefits are endless. Each and every year, Berry, along with our customers and suppliers, continue to develop new ways to manufacture our products using less resin through our technology advances and material science expertise. Additionally, we will continue to work with partners like The Plastics Industry Association to communicate the benefits of plastics and how to recycle plastic products properly. Our longstanding Earth Day program allows us to impact over 1,000 third graders each year as they tour our Evansville facility and we teach them about plastics and how to recycle. Our Plastics Ambassadors program, along with help from our industry partners, allows us to drive a unified voice and improve the perspective of plastics around the world. Finally, Berry will continue to take the steps necessary to remain a leader in the markets where we participate, through a relentless focus on building and strengthening our competitive advantages to ultimately maximize shareholder value. I'm confident that the people of Berry will continue to drive positive results and achieve our goals and mission of always advancing to protect what's important. I thank you for your continued interest in Berry. And at this time, Mark and I will be glad to answer any questions you have. Operator?
Operator: Thank you so much. Your first question comes from the line of George Staphos. Your line is now open.
Thomas E. Salmon - Berry Global Group, Inc.: Morning, George.
George Leon Staphos - Bank of America Merrill Lynch: Thanks. Thanks for the details. Hey, I want to ask a first question really in terms of looking at underlying trends related to your guidance. So on the one hand, you raised your Clopay synergy target by $20 million although (00:28:22) maybe more of that will flow into fiscal 2019 and fiscal 2018 nonetheless, that's one point. And cash taxes were reduced $30 million. I believe previously you were at $160 million, now, you're at $130 million. Yet, the free cash flow guidance didn't change. Are there offsets anywhere else, does this imply maybe lower EBITDA than you were looking for earlier in the year? Help us first with that question. Our second question is, I remember from the last quarter call that the view was that the negative price cost in Brazil in HH&S would be effectively zero for the June quarter. Is that still your view? Thank you.
Mark W. Miles - Berry Global Group, Inc.: Morning, George.
George Leon Staphos - Bank of America Merrill Lynch: Hey, Mark.
Mark W. Miles - Berry Global Group, Inc.: With respect to your first question, that's correct, we increased our guidance relative to synergies from Clopay. We continue to be excited about that acquisition. But the timing of those synergies is such that the impact on fiscal 2018 is not significant. The larger impact will be to fiscal 2019.
George Leon Staphos - Bank of America Merrill Lynch: Yeah.
Mark W. Miles - Berry Global Group, Inc.: With respect to your second part about taxes, one of the exciting parts about the tax reform was the accelerated deductibility of capital expenditures and that benefited us from the Clopay acquisition as well, which is what's driving the majority of the decrease in our guidance with respect to taxes for fiscal 2018. We're still binding up those numbers, but we feel good about the guidance that we provided there with respect to the $130 million, which is being offset by the inflation and the timing of recovery of costs, which is why the free cash flow guidance is being held. We remain committed to fully recovering cost inflation. It's just a function of timing and getting those costs passed through.
Thomas E. Salmon - Berry Global Group, Inc.: And George, your second question relative to Brazil, first and foremost, we reinforced our leadership position in Brazil with the acquisition of Clopay. It's given us enhanced capability to serve our end customer base in the region right now. We talked a little bit during our remarks relative to our ability to access lower cost converting capability with this acquisition. And though we see the South American market continue to bounce along the bottom, if you will, and though our performance is consistent with our end customer base, we still have a very high regard for the region. And we believe with rising GDPs rise of the middle class, we'll benefit from increased sell-through in the region.
George Leon Staphos - Bank of America Merrill Lynch: So Tom, just to clarify, are you at a zero on price cost in fiscal 3Q versus what had been previous – relatively large negatives in the prior quarters?
Thomas E. Salmon - Berry Global Group, Inc.: We continue to work with the customers relative to the terms and conditions of the purchase and sales agreements we have in place; in non-resin items as well where we see an inflationary impact in both other raw materials as well as freight, for example, in the U.S. But in that country, we're ultimately working on all those aspects within the terms of the agreements and in some cases, seeking and receiving early relief from that, but that will take place throughout the back half of fiscal 2018.
George Leon Staphos - Bank of America Merrill Lynch: Okay. I'll turn it over. Thank you.
Operator: Thank you so much. Your next question comes from the line of Chris Manuel. Your line is now open.
Chris D. Manuel - Wells Fargo Securities LLC: Good morning, gentlemen. If I could just follow up on the last part of that for one second. I mean, when we think about recovery of, I think, Mark, you indicated in the end of the quarter, you were 20-ish behind when you guys, if I remember last quarter, you talked about price cost being more neutral this quarter. So when I think about what is kind of a soft cut to the EBITDA number, even though free cash flow is maintained, can you walk us through type cadence (00:32:26) of recovery or is there an opportunity just to restore margin or is there an opportunity to actually get some of that back if as you suggested polypropylene prices are beginning to fall, can you maybe help us with how that plays through and what that might mean for 2019?
Thomas E. Salmon - Berry Global Group, Inc.: Just a quick comment, I think it's important to recognize that what we're seeing in terms of the inflationary environment is not something special, new or unique to this industry. This was pretty significant during the 2013-2014 period. And we clearly believe that we will continue to be able to generate margin that we have historically in the 18% to 19% range, regardless (00:33:10) of what's happening in the macroeconomic environment. I don't think it's any different in this scenario as well. So this is not an unusual circumstance. We work with our customers on the pass-through of the raw materials, both resin, non-resin and freight. And the non-resin and freight piece ultimately, there is additional complexity, because many of those items are not covered on purchase and sales agreement, so they're one-off negotiations, but it's proceeding well. The customers understand the drivers of the inflation and as we have historically, we are fully committed to offsetting inflation with price in the marketplace.
Chris D. Manuel - Wells Fargo Securities LLC: Okay. That's helpful. But again, from a timing perspective, it might not be this fiscal year, it's a 2019 event, is that right?
Mark W. Miles - Berry Global Group, Inc.: I would say we're continuing to work on it on a regular basis, and so, it's not as though there's just step change date function, it's an ongoing exercise that our businesses are going through working with customers to improve their relationship. And as you mentioned, we did get relief on from polypropylene in February, March, which will benefit the June quarter.
Chris D. Manuel - Wells Fargo Securities LLC: Okay. The second question I had had to do with kind of the volume trajectory. And I appreciate that, I guess, most of the issue down in Brazil is behind you at this point, but you've talked about some new business wins. I think if memory serves, it was 60-ish-million in your Consumer and $50 million, $60 million potentially in your HHS piece as well. Is it your expectation – and again, I mean, I know I asked you this last quarter, but I just want to make sure that it's still on track, is it your expectation that for the balance of your fiscal year i.e. Q3 and Q4 that you can actually get back to flat volumes or potentially positive, Tom, how do you think the cadence falls there?
Thomas E. Salmon - Berry Global Group, Inc.: Yeah, that's our assumption that we get back to flat volumes in the back half of fiscal 2018. You mentioned Consumer Packaging, specifically it's a $70 million investment we made here in our headquarters manufacturing facility, tied to the foodservice space. Our success in terms of growth in foodservice in the quarter was low double-digits. So it's the second consecutive quarter where we've seen very positive growth. We believe we'll begin to see the volume impact of this capital investment in the back half of 2018. Project is 100% on track, on time, on budget and, ultimately, the collaboration with our top five quick-serve restaurant companies exploring this new technology has been tremendous. This product for the marketplace offers not only a cost reduction, but a sustainability play, and addresses concerns that the marketplace specifically articulated in terms of needs that were currently being unmet that we're meeting. So we're very excited about the prospects of this investment. It ties the core thermoforming technology and consistent with what we said in past calls, our capital investments will be made and directed towards specific targeted markets with partner customers, tied to letters of intent, that ultimately increased the likelihood of success and reduced the risk of any type of failure on assets that are as flexible as we can possibly manufacture and make them. So the CP investment is exciting and, again, it will be a nice turn in that business in the back half of 2018 is our forecast.
Chris D. Manuel - Wells Fargo Securities LLC: Okay. Thank you, guys.
Operator: Your next question comes from the line of Anthony Pettinari. Your line is now open.
Anthony Pettinari - Citigroup Global Markets, Inc.: Good morning. On the M&A pipeline, you've been under four times for, I guess, three quarters now. Can you talk a little bit about the pipeline and the M&A environment and there were a couple large assets that were acquired or were announced to be acquired over the last month or so. I guess, first question, would you look at a North American consumer business, understanding that you've been kind of moving away from that in recent years? And then, second, would you look potentially at share buybacks, if you remain somewhat underlevered and you're not seeing targets in the market?
Thomas E. Salmon - Berry Global Group, Inc.: First and foremost, we review capital allocation every quarter with our board of directors and relative to Consumer Packaging, Consumer Packaging is an integrated integral component of Berry Global. It's over a $2 billion franchise. 20% of our business still resides in food and we're a leader in that space. But relative to capital allocation, M&A overall is very attractive right now. There are many opportunities in what is a very fragmented market, not only in North America, but around the world. And I would make note our disciplined approach to identifying, acquiring, synergizing acquisitions is a core competency to our company. And what you saw recently with the Clopay acquisition was a terrific example where we were able to steal shamelessly great ideas from the acquired company and translated across the entire franchise. That type of discipline, that type of commitment to translation and not have any ego about where the idea came from, is a cornerstone to our success. And when you look at the past 15 deals and you look at the post-synergy multiples in the low 5.2 range, it's a good track record and we're not going to lose that disciplined approach. We have no problems putting pens down relative to an acquisition, if we believe it's become overvalued, because the market is so fragmented right now. And I would say, today, it's as fragmented and there's as many opportunity today than there's ever been.
Anthony Pettinari - Citigroup Global Markets, Inc.: Great. Great. That's very helpful. And then, you made some comments on sustainability in plastics that were helpful. It seems like this year, we've seen increased regulatory scrutiny on single-use plastics mostly in Europe, but I guess some city governments in the U.S. Those seemed to be focused on bags and cups. I guess, first question, is there any potential earnings or volume impact that you've seen from some of those regulatory actions? And then, second, from a broader perspective, does this change how you think about potential M&A in Europe or the attractiveness of consumer businesses in Europe?
Thomas E. Salmon - Berry Global Group, Inc.: Good question. Certainly, the heightened awareness relative to environmental impact sustainability is important and it's frankly why I took a proactive stance agreeing to speak at World Petrochemical in front of 1,600 of the petrochemical industry's top executives to say we need to start speaking with a common collective unified voice and I'm thrilled that since that engagement, the discussion and dialogue about unifying the message around the possibilities of plastics and how it makes people's life better every day continues to improve. We had no share loss, if you will, as a result of the conversations that have been happening around sustainability. I would argue, in fact, we have gained share from other substrates. And we're ultimately benefiting from providing advantaged products similar to what we discussed in the Consumer Packaging business, in the foodservice space, to address that market concern. Relative to trends, I think as better education, better discussions come together relative to disposal, reclamation, reuse and reduction, it will be a – I think we can turn this into a positive. And I would note Berry has a core competency in terms of weight reduction in its product development D&A. We do it every year in the range of 1-plus-percent and that is a component of the reducing the weight and the amount of use of certain products, which is a requirement from our end customers and something that we're very good at.
Anthony Pettinari - Citigroup Global Markets, Inc.: Okay. That's helpful. I'll turn it over.
Operator: Your next question comes from the line of Ghansham Panjabi. Your line is now open.
Ghansham Panjabi - Robert W. Baird & Co., Inc.: Hey guys. Good morning.
Thomas E. Salmon - Berry Global Group, Inc.: Hi, Ghansham.
Ghansham Panjabi - Robert W. Baird & Co., Inc.: I guess, first off, on the Engineered Materials segment, the 3% volume decline, you're obviously seeing nice growth in a portion of that segment in tapes. Can you first off quantify just how much tapes are growing and also how much of a decline in EM would you attribute from what is purposeful related to the AEP integration? I just wanted to get a sense as to what the end markets are doing versus what your internal initiatives might be impacting as well.
Thomas E. Salmon - Berry Global Group, Inc.: Engineered Materials, we, in previous calls, after the June quarter, will lap most of the actions taken relative to AEP in terms of volume price trade-offs. You noted the tapes' success that we have been frankly consistently having. This is a business growing the mid-single-digits and it's the product portfolio that we've got an advantaged position, especially with the recent Adchem acquisition that we just completed giving us access to the specialty tape market. This is a business, frankly, Ghansham, that we make volume price trade-offs all the time. As an industry leader in this space and an industry leader with a low cost position, we make decisions every single day based on what we think it's going to be the best impact of shareholder value and it's part of really how we manage that business day-to-day. But I would argue that the opportunities in EM, both in terms of what we're doing in terms of load management and reducing breakage loss and damage, the investments we're making in converted films to participate in the e-commerce space, the continued franchise success of our tapes business, as well as load management capability, there is a lot of bright prospects for this business for the long haul.
Ghansham Panjabi - Robert W. Baird & Co., Inc.: So again, if you strip out AEP, some of the initiatives there, what do you think Engineered Materials on a standalone basis normalized, if you will, what do you think the volume profile is for that end market?
Thomas E. Salmon - Berry Global Group, Inc.: Low single-digits.
Ghansham Panjabi - Robert W. Baird & Co., Inc.: Okay. And then, my second question on nonwovens and the growth in markets outside of South America you referenced. I guess, what's driving that large CPG customers are calling our weakness in many different subcategories there, which categories and end markets are you seeing the most growth in? Thank you so much.
Thomas E. Salmon - Berry Global Group, Inc.: No problem, Ghansham. We've talked a lot about the strategy around our HHS business is to get higher penetration in developing regions of the world where the growth rates are higher. It's consistent with nonwovens' investments that we've made in China where we have continued to experience mid-single-digit growth rates there consistently, the investment in China relative to our filtrations business in terms of air filtration and further enhance investment in the white space. Whites continue to be good, healthcare continues to be good, specialty air filtration continues to be good in that space, and frankly, really with the exception of what we're seeing in South America, all regions are showing positive growth. And again, we feel bullish as we continue to see rise of the middle class, increased rates of birth around the world that will benefit Berry Global.
Ghansham Panjabi - Robert W. Baird & Co., Inc.: Perfect. Thank you.
Operator: Your next question comes from the line of Scott Gaffner. Your line is now open.
Scott L. Gaffner - Barclays Capital, Inc.: Thanks. Good morning, Tom, good morning, Mark.
Thomas E. Salmon - Berry Global Group, Inc.: Good morning.
Mark W. Miles - Berry Global Group, Inc.: Hi, Scott.
Scott L. Gaffner - Barclays Capital, Inc.: Just going all the way back to beginning, I didn't exactly hear the response, but in response to George's question around the EBITDA guidance for 2018, did you reduce the EBITDA guidance for 2018? And if so, was it mostly a price cost issue or a volume issue?
Mark W. Miles - Berry Global Group, Inc.: Yeah, morning, Scott. We don't give specific EBITDA guidance, but as you pointed out, we do provide cash flow guidance and we did reduce our tax rate, as well as hold cash flow guidance. And so, there is a timing impact of passing through inflation that's factored into that guidance. So as polypropylene has subsided and we're continuing to work with customers to pass through that inflation, there's a timing impact to that, which has been reflected in our updated guidance.
Scott L. Gaffner - Barclays Capital, Inc.: Okay. Understood. But so, volumes are still coming in as you would have expected for the full year?
Mark W. Miles - Berry Global Group, Inc.: Yeah, we're continuing to assume flat guidance for the back half of the year. The first half was slightly weaker than our guidance assumption at the beginning of the year, modest impact in the aggregate, but I would say slightly weaker with the improved projection going out into the back half of the year.
Scott L. Gaffner - Barclays Capital, Inc.: Okay.
Mark W. Miles - Berry Global Group, Inc.: And just to reiterate what Tom said right earlier, which is we've invested a lot of organic capital, right, a record level of organic capital in the business that's backed by customer agreements and we're confident and look forward to the earnings growth and sales growth associated with those investments. Obviously, there's a timing lag associated with that and you have to get the capital in, which will benefit us in the back half of 2018 and going into fiscal 2019.
Scott L. Gaffner - Barclays Capital, Inc.: Okay. And Tom, a little bit of a different take on acquisitions, I mean just given where we are in this cycle, is there anything in your businesses or anything in the market that maybe gives you some pause to take on another deal here at this point in the cycle if it is sort of the peak of the cycle? Any thoughts you have there to maybe slow down on M&A versus continue?
Thomas E. Salmon - Berry Global Group, Inc.: No, it's a – listen, it's creating more shareholder value than really any other form of capital allocation. Our priorities continue to be we'll remain inquisitive in terms of M&A, we'll pay down our debt, we'll invest in high IRR capital investments into our company and we'll continue to consider share buybacks and dividends as tools that we can use for the company. But clearly, the M&A environment continues to be robust. And as Mark said, we're continuing to invest at a record level right now in growth projects tied to specific markets with specific end use customers tied to letters of intent that we can further our growth organically. So we'll be disciplined. Even though a lot of folks talk about where we're at in a given cycle, we continue to see opportunities. Our disciplined approach will not change and it's always centered around how much shareholder value will it create.
Scott L. Gaffner - Barclays Capital, Inc.: All right. Thanks, Tom. Thanks, Mark.
Thomas E. Salmon - Berry Global Group, Inc.: Thank you.
Mark W. Miles - Berry Global Group, Inc.: Thanks, Scott.
Operator: Your next question comes from the line of Debbie Jones. Your line is now open.
Debbie A. Jones - Deutsche Bank Securities, Inc.: Hi, good morning. I just had a couple questions on a few items that were already addressed. The inflationary component that changed your assumption for this year driving your cash flow guidance, should we expect that you can fully recover that in 2019 to the $30 million delta or somewhere around that?
Mark W. Miles - Berry Global Group, Inc.: It would be timing and so, Debbie, it would not come back until costs moderate. Obviously, we're working every day to continue to reduce our cost structure and we're investing capital, working diligently to improve productivity every day. So we would assume that we would have incremental cost savings associated with those actions. But in terms of getting the money back per se, that wouldn't happen until the cycle changes, which these things do go through cycles. Tom mentioned this is not unusual. And so, we'll continue to work through it, pass through the cost, but it wouldn't be like a bounce back. You would just get back to zero.
Debbie A. Jones - Deutsche Bank Securities, Inc.: Okay. So the idea just being that your contracts will flow through on the resin side, but there are some other incremental costs that maybe a little bit more challenging to pass through?
Mark W. Miles - Berry Global Group, Inc.: And we're continuing to work diligently to recover those.
Debbie A. Jones - Deutsche Bank Securities, Inc.: Okay. And then, just on the Clopay guidance change, you addressed a number of items that are leading to the uptick in the guidance there. Could you just highlight one or two kind of what's the key drivers of the $20 million uptick? You mentioned some positioning in Brazil. It just wasn't quite clear to me what gave you that much more optimism.
Thomas E. Salmon - Berry Global Group, Inc.: Just a couple, so relative to Brazil, they had a conversion capability that was actually lower cost than what we had inside our existing facilities. It had available capacity on it. So we're transitioning business from one of our legacy Berry facilities to the Clopay facility, taking advantage of a lower converting cost; that's an example there. Relative to SG&A, typical to what you might expect; opportunities around process improvement overall. And I think with Clopay, we looked at not only the Clopay business, but holistically, our HHS business and said how can we use the footprint of Clopay, the people, the resources, the best practices and afford ourselves an opportunity for a reorganized HHS as a whole and use this as the impetus to do it? And we've taken full advantage in terms of people, processes, facilities in terms of where products run and don't run, how we streamline account coverage and deliver value to our customers. So it's a whole host of things, but we're really excited about it. And as I think we've talked about before, every opportunity we have to do an acquisition gives us basically a statement in terms of our level of competitiveness and we remain committed to and believe that we're a low cost provider. We'll continue to maintain that position and the decisions we make every single day, we focus on how we create more shareholder value.
Debbie A. Jones - Deutsche Bank Securities, Inc.: Okay. Thanks. I'll turn it over.
Operator: Your next question comes from the line of Adam Josephson. Your line is now open.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Tom, Mark, good morning.
Thomas E. Salmon - Berry Global Group, Inc.: Hi. Adam.
Mark W. Miles - Berry Global Group, Inc.: Morning. Adam.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Mark, one last question about the EBITDA. So I know polypropylene prices, as you mentioned, came down in February and March. So subsequent to your last call, your polypropylene costs have come down, right, so and polyethylene hasn't moved. So I guess, what changed with respect to your inflation expectations for the year when, if anything, I would have thought inflation would have been slightly more benign than you would have thought three months ago.
Mark W. Miles - Berry Global Group, Inc.: Yeah, I think that's fair on polypropylene. Obviously, we have a lot of costs in our business outside of that particular item, but that is true for polypropylene. Obviously, difficult to predict how the balance of the year is going to play out. But overall, inflation for us in Q1 was I think around 3% on a net basis and in Q2, it jumped to 6%. So it's doubled year-over-year. Those are including things like transportation, other raw material costs and really across all of our cost categories, that was impacted. So it wasn't a specific polypropylene related item. It was more driven by the other costs.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: And just related to that, Mark, if inflation was 3% in 1Q and 6% in 2Q, roughly what are you expecting this quarter?
Mark W. Miles - Berry Global Group, Inc.: I don't have the exact number in front of me, Adam, but I would expect some moderation, to your point, relative to polypropylene. And so I would expect our price cost spread as a result of that to improve year-over-year on a quarterly sequential basis.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Okay. And just one more on inflation, Mark, what are your expectations for polypropylene and polyethylene? Do you expect them to move much from April onward?
Mark W. Miles - Berry Global Group, Inc.: We don't – obviously, very difficult to predict that. There's people that do that for a living trying to project expected market prices for resin. I don't think we're in a position to give any better guidance than they do, but we just work diligently to maintain our low cost position. Resin for us is a pass-through. We continue to believe we're in – most of our business is in the lowest cost region of the world, with 80% of our business in the U.S. As Tom mentioned earlier, it's a great substrate, but in terms of predicting whether or not it's going to go up or down in the short term, I'll probably leave that to the experts.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Just one last one along those lines. I know the company has talked in the past about this wave of polyethylene capacity hitting North America, right, around now and there's been a lot of discussion about how polyethylene is bound to fall pretty significantly at some points and because of it, are you in that camp still or has it taken so long for this to happen that you're now starting to wonder well, perhaps this won't actually happen after all?
Thomas E. Salmon - Berry Global Group, Inc.: No, I would say first and foremost, the billions of dollars of investments that's been made by the petrochemical companies in polyethylene capacity is, first and foremost, a great sign for our business and our industry. Deployment of this capacity, it's probably not spoken of enough, but in talking with many of the companies that have deployed new capacity, some groups take as much as two years to get to full run rate of those crackers. Some are at varying stages. So you have not seen yet the full benefit of all the capacity. And I should also state that the impact of the hurricane had a tremendous impact on that startup and it's still being felt today, believe it or not. So no, we still believe it's a great thing for the industry. We believe Berry will do its best to ultimately compete in the marketplace. We think this is a great reflection for our industry and that we think as a low cost producer, we're going to find ways to create that value for customers.
Adam Jesse Josephson - KeyBanc Capital Markets, Inc.: Thanks so much, Tom.
Operator: Your next question comes from the line of Brian Maguire. Your line is now open.
Connor Robbins - Goldman Sachs & Co. LLC: Hey, good morning. This is actually Connor Robbins sitting in for Brian today. I just wanted to follow up quickly on Adam's question, just talk about resin and potentially coming down a little bit more, is there any potential for the working capital assumption of cash use of $40 million to be maybe a little bit conservative if resin continues to moderate?
Mark W. Miles - Berry Global Group, Inc.: Yeah. For our last quarter, the resin market was – it's about $7 million when we step back, and so, it's about $7 million if all resin grades go up by $0.01. And that math would have implied slightly larger headwinds than $40 million on our last call. Obviously, the polypropylene decreases bring that back in line more with the $40 million assumption, which is why we didn't update that. Obviously, we're going to work diligently to beat that. We've got a positive working capital impact in the last several years and we're going to work diligently to do better. But the inflation that we had so far this year would imply use of $40 million for fiscal 2018.
Connor Robbins - Goldman Sachs & Co. LLC: Okay. Got you. That's helpful. And then, kind of on the same lines, just looking at the margins in each segment, I was wondering if you could give any details on what your expectations are for the next two quarters, considering in your materials you've been doing a little bit more of pruning of lower margin businesses, which might be helping get those margins up. I'm just wondering if you could give any more details of where you guys are expecting margins in the last two quarters.
Thomas E. Salmon - Berry Global Group, Inc.: We're at continuous improvement culture, I can assure you. So the expectation is that we will – any negative impacts that we've met relative to raw material will offset with passing those that inflation on to our customers. And coupled with process improvements, it's always the objective to increase our margin profile, so hasn't changed a bit. We expect and we hold our businesses accountable to grow those margins each and every year. And as we've done in a variety of different inflationary environments, macroeconomic cycles, our margins continue to be maintained in the 18%, 19% range for quite some time now. So we don't expect that to change.
Connor Robbins - Goldman Sachs & Co. LLC: All right. Thank you. I'll turn it over.
Operator: Your next question comes from the line of Arun Viswanathan. Your line is now open.
Arun Viswanathan - RBC Capital Markets LLC: Great. Thanks. Good morning. I'm just trying to understand your confidence level in the volume growth. We've gone through several quarters of kind of below expectation volume growth in HH&S and EM. Consumer Packaging looks like it's doing better and maybe benefiting from some of your recent wins. But on HH&S and EM, when can we expect those volumes to get better? I know that the calling should be done soon in EM, but HH&S, I mean, what would it take for you guys to kind of go back to your plan of low single-digit growth or 2% to 4% growth are there?
Thomas E. Salmon - Berry Global Group, Inc.: What we saw inside of our HH&S business, when you exclude South America, we had positive growth inside the HHS business. And we continue to believe with the investments that we're making in developing regions of the world, it's only going to accentuate that opportunity. And we believe the health hygiene, healthcare space, specialty materials inside that business are poised for growth and consistent with the record amount of CapEx we spent in that business, $130 million over the last four quarters. In terms of Engineered Materials, we've talked about the volume price trade-offs that we chose to make. We continue to believe we are low cost provider and we'll make decisions on businesses that we win and we lose based on shareholder return and shareholder value that creates as well as making certain that we provide discipline to industry segments that we're leaders in. And as we said, inside of Consumer Packaging, similar story, we've made real investment in targeted applications. We're going to see the benefit inside the foodservice space. Our target positions within the healthcare space for CP continue to grow and our hit rates are growing there as well. So we're taking the necessary steps to complement what we've done from an M&A perspective with organic growth strategies tied to its specific capital investments that the teams are accountable to deliver against and we feel good about that right now in all three space.
Arun Viswanathan - RBC Capital Markets LLC: Is there – and just as a follow-up, I mean, do you think that there has been any more pressure or any more difficulty in raising prices to offset the raw material pressure in the face of weak volumes, and so, if you do see volumes recover, you can see that price cost capture also improve?
Thomas E. Salmon - Berry Global Group, Inc.: So first and foremost, as we said, this is no different than what we've seen in recent cycles. We were able to deliver and execute against raising price. Anybody in the phone that's ever been presented and worked through price increases, it's never easy, it's hard work, but we're capable and we've done it historically, we'll do it now. And relative to demand, listen, we're in a competitive space that's still very fragmented and we're a low cost provider. Being a low cost provider, we ultimately can determine what we win, where we win, but I think the key is making sure that we do it in a disciplined manner, maintain the margin expectations that you've grown to expect.
Arun Viswanathan - RBC Capital Markets LLC: And just lastly, on cash flow, it looks like you've done free cash flow around $67 million to the first half of this year. There's a lot of puts and takes, I guess, in your free cash flow this year to get to that $630 million. I'm just curious looking out into 2019, if you see lower CapEx and some other slight improvements, how do you feel about 2019 free cash flow, I mean, should we assume that it's going to be comfortably above what you achieved in 2018? Thanks.
Mark W. Miles - Berry Global Group, Inc.: Yeah, we focus on our cash flow daily. We're growing our cash flow every single year as a public company and it's an important metric for us that we'll continue to focus on.
Arun Viswanathan - RBC Capital Markets LLC: Thanks.
Operator: Your next question comes from the line of Mark Wilde. Your line is now open.
Mark William Wilde - BMO Capital Markets (United States): Hi. Just a couple of clean-ups. Is it possible, Mark, to get some sense of how much headwind you think kind of just freight and transportation created this last quarter?
Mark W. Miles - Berry Global Group, Inc.: I don't have the numbers at my fingertips, Mark, and obviously, it varied by customer and by how the shipping – we feel like we're advantaged from a footprint perspective versus our competition, right? Many of our competitors have single locations or a couple locations. So we look at it as a long-term advantage in terms of the footprint that we have with 130 sites globally, many of those located in the U.S. where we can be closer to customers than a lot of our competitors. So long-term, we view it as a competitive positive, but in the short-term, obviously, we're working to pass through those costs to our customers. But I apologize, I don't have the number at my fingertips to quantify it for you.
Mark William Wilde - BMO Capital Markets (United States): Okay. And then, just actually following on that footprint and sort of given the volumes we've had recently, any thoughts about sort of further footprint moves here in North America in the next, I don't know, two to four quarters?
Thomas E. Salmon - Berry Global Group, Inc.: We continue to evaluate opportunities as they present themselves. We just completed one in Mexico where we successfully consolidated a facility and it's an ongoing basis. It's never really, Mark, part of a project or initiative. We asked ourselves at every opportunity to assess if we can further continuously improve and drive performance, improve results and it hasn't changed. So that's just one example of one that just was completed here last quarter.
Mark William Wilde - BMO Capital Markets (United States): Okay. Sounds good. Thanks, Tom.
Thomas E. Salmon - Berry Global Group, Inc.: Thanks, Mark.
Operator: Your next question comes from the line of Chip Dillon. Your line is now open.
Salvator Tiano - Vertical Research Partners LLC: Hi guys. This is Salvator Tiano filling in for Chip. How are you?
Thomas E. Salmon - Berry Global Group, Inc.: Well, and yourself?
Salvator Tiano - Vertical Research Partners LLC: I'm good. So the first question and I know you already got plenty on the guidance and we know what has changed in terms of resin prices, but what I would like to understand is a little bit, since the last time you offered the $630 million figure, it was pretty much in the middle of your fiscal quarter. So what was different then since you had already experienced half of the performance and you didn't feel that you have to change that figure then and you did it only now.
Mark W. Miles - Berry Global Group, Inc.: Yeah. No, just again inflation and the recovery of inflation and the timing lag associated with that, and then, again, just a modest impact relative to the slightly weaker volumes in the first half.
Salvator Tiano - Vertical Research Partners LLC: I'm sorry. I didn't catch the last part of the answer.
Mark W. Miles - Berry Global Group, Inc.: The volumes in the first half were slightly weaker than expected for the full year.
Salvator Tiano - Vertical Research Partners LLC: Okay. Understood. And my second question is, obviously, the stock is not doing great today and has come off recently. How does it change your capital allocation priorities? Always M&A seems to be out at the forefront, but is there a point where buybacks are much more attractive and there is no sense in looking for acquisitions anymore?
Thomas E. Salmon - Berry Global Group, Inc.: We review that quarterly with our board of directors. We outline what the opportunities are in terms of debt reduction, capital investments, M&A, share buyback, as well as dividend. That's reviewed every single quarter. I'm not at liberty to share specifically our intention there, but we continue to believe that we've got opportunities to continue to invest in high IRR capital investments, debt reduction, M&A along with share buyback and possible dividend deployment. All those are available to us and we review those with the board every quarter.
Salvator Tiano - Vertical Research Partners LLC: Perfect. And a small one, I don't know if you mentioned earlier, you discussed kind of the volume price trade-off in Engineered Materials and I assume that helps you have a positive price cost spread. Is there kind of an indication why would have been that price cost spread if you have not pushed for price over volume kind of, if you had taken the approach that you had in the other two segments?
Mark W. Miles - Berry Global Group, Inc.: Yeah. I mean, I guess, that would be speculation to try to apply hindsight to that, but I mean, we're looking to maximize earnings every day and we're continuing to make those decisions to do what we think is best for our shareholders and we'll continue to do that.
Salvator Tiano - Vertical Research Partners LLC: Sure. Thanks.
Operator: Your next question comes from the line of Edlain Rodriguez. Your line is now open.
Joshua Spector - UBS Securities LLC: Hey, guys. This is Josh Spector on for Edlain.
Thomas E. Salmon - Berry Global Group, Inc.: Hi, Josh.
Joshua Spector - UBS Securities LLC: Just a question – hey. In terms of M&A opportunities, does the change in the U.S. tax laws impact your outlook at all for opportunities within the U.S.? So I guess and I mean, as I understand it, if you acquire U.S. assets, maybe not necessarily a full company, there is the potential for you to expense the majority of the cost in year one. Is that something that factors into your thinking at all or create any new opportunities that might not have screened as well in the past?
Mark W. Miles - Berry Global Group, Inc.: Sure, yeah. I mean, that would certainly be a consideration as we consider acquisitions that would certainly be included in the IRR calculation, the rate as well as the timing of all cash flow items. So yes, absolutely, that would be considered as we consider M&A targets in our modeling.
Joshua Spector - UBS Securities LLC: Would you say it's expanding to be opportunity set for you or kind of no change?
Mark W. Miles - Berry Global Group, Inc.: I wouldn't say there's any change relative to the opportunity set, but again, that certainly, everything else being equal, would make those opportunities more better returning than what they were prior to the reform.
Joshua Spector - UBS Securities LLC: Okay.
Mark W. Miles - Berry Global Group, Inc.: No different than our own – no different than Berry's own cash flow organically improved as a result.
Joshua Spector - UBS Securities LLC: Got it. All right. Thanks for the color.
Operator: There are no further questions at this time. Presenters, I'll turn the call over back to you.
Thomas E. Salmon - Berry Global Group, Inc.: Thanks very much. I want to thank everyone for their interest this morning in Berry Global. We very much look forward to speaking to you during our next 3Q call. Take care.
Operator: This concludes today's conference. You may now disconnect.